Operator: Good morning, and welcome to the City Office REIT, Inc. Second Quarter 2024 Earnings Conference Call. At this time, all participants are in a listen-only mode. A brief question-and-answer session will follow the formal presentation. [Operator Instructions]. As a reminder, this conference call is being recorded. [Operator Instructions]. It is now my pleasure to introduce you to Tony Maretic, the company's Chief Financial Officer, Treasurer and Corporate Secretary. Thank you, Mr. Maretic. You may begin.
Tony Maretic: Good morning. Before we begin, I would like to direct you to our website at cioreit.com, where you can view our second quarter earnings press release and supplemental information package. The earnings release and supplemental package both include a reconciliation of non-GAAP measures that will be discussed today to their most directly comparable GAAP financial measures. Certain statements made today that discuss the company's beliefs or expectations or that are not based on historical fact may constitute forward-looking statements within the meaning of the federal securities laws. While the company believes that these expectations reflected in such forward-looking statements are based upon reasonable assumptions, we can give no assurance that these expectations will be achieved. Please see the forward-looking statements disclaimer in our second quarter earnings press release and the company's filings with the SEC for factors that could cause material differences between forward-looking statements and actual results. The company undertakes no obligation to update any forward-looking statements that may be made in the course of this call. I will review our financial results after Jamie Farrar, our Chief Executive Officer, discusses some of the quarter's operational highlights. I will now turn the call over to Jamie.
Jamie Farrar: Good morning. Throughout 2024 office leasing fundamentals have continued to strengthen across our markets. During the first quarter of this year we had healthy leasing activity that was comprised of 110,000 square feet of new leases and total leasing activity of 191,000 square feet. I'm pleased to report that these volumes have continued to improve in the second quarter. We reported today that new leasing activity increased to 162,000 square feet and total leasing activity increased to 269,000 square feet. In fact, this was the highest quarter of new leasing in our company's history. There are several positive industry trends that have contributed to these results. New office construction has declined to all-time lows. A record number of office conversions and demolition of obsolete buildings has also occurred. At the same time, a significant portion of the premium space in our markets has now been leased and sublease space has decreased for four quarters in a row. As a result of these trends, competition from the supply of new or high-quality lease space is decreasing. On the demand side, we are also seeing a shift. There are more large tenants in the market looking to fill bigger space requirements. JLL estimate that nationwide tenant requirements have increased by 28% year-over-year. At the same time, renewal prospects are improving, with JLL reporting that 60% of tenants over 10,000 square feet nationwide renewed in place in the second quarter. This is up 15% from the prior year. The improvements on the supply and demand side have translated to an overall more conducive leasing environment. We expect the pace of these improvements to be gradual but favorable for our long-term strategic execution. Today one of the biggest challenges in the office market continues to be a lack of liquidity in real estate transactions, which we believe has been driven primarily by the office real estate debt market. Over the past few years there have been very few options for new loan originations in the office sector. This is heavily suppressed office sale transactions. While debt markets are still muted, there has been a slight tolerance. The CMBS market has started to open up, which will help facilitate some liquidity and capital flexibility. On the whole, the office market still faces challenges. Despite this, the pathway to longer-term success is becoming clearer for quality properties in growth markets operated by well-capitalized owners. We believe that our portfolio is positioned to benefit from these trends. And now, shifting to specifics of our leasing and operational results. The largest new lease this quarter was at FRP Collection in Orlando, where we signed a 30,000 square foot 5-year lease with a strong credit energy tenant. At Block 23 in Phoenix, we signed a 24,000 square foot lease with a co-working operator. This lease backfilled over half of the 46,000 square feet that we were previously occupied at that property. The new lease is structured where we share the economics of the tenants operation in the space. We were able to execute this transaction within five months of WeWork vacate. This leaves 22,000 square feet of prime space from the WeWork giveback which we plan to further subdivide into smaller suites. As we indicated was the expectation on our last call, we did finalize terms with WeWork at the two remaining spaces they lease in our portfolio. In that regard, in July, we took back a 25,000 square foot floor at the terraces in Dallas. And in November, we expect to take back a 28,000 square foot floor at Block 83 in Raleigh. We already have prospects looking to lease these spaces which are some of the best suites in our entire portfolio. WeWork, who has emerged from bankruptcy will ultimately lease 78,000 square feet of well utilized space from us, when the rightsizing is completed. Aside from leasing, we are also focused on executing strategic property upgrades in some of our strongest submarkets. We're making significant enhancements in Scottsdale at Pima Center, in Phoenix's Camelback Corridor at 5090, in St. Petersburg at City Center and an uptown Dallas at 2525 McKinnon. These renovations are designed to provide a competitive leasing advantage and will greatly enhance the profile of all four properties. Of the $9 million, we expect to invest into these four projects, we have spent approximately $4 million as of quarter end. At the conclusion of this renovation program, the vast majority of City Office's portfolio value will reside in well-located, newer vintage or recently renovated and amenitized properties that are very well positioned for leasing success. While the renovation of our City Center property in downtown St. Petersburg, Florida is underway, we have separately been exploring a value-enhancing initiative at that property. St. Petersburg has become an increasingly desirable office and residential market. It is a special waterfront community with a great quality of life and amenity offerings. The population has grown over 11% in the last five years and office occupancy rates are some of the highest in the country. This has created strong demand for both residential and commercial development. For some time, we've been advancing the potential of redeveloping city centers stand-alone parking garage into a mixed-use development with premium high-rise residential condominiums. Today, we are in advanced discussions with a highly regarded developer to progress this opportunity. The form of the venture would likely entail us contributing the parking garage land and participating in future development profits. While any possible redevelopment of City Center remains subject to a number of conditions, some of which are beyond our control, we hope to provide an update later in the year. As we did with our transformational San Diego Life Science portfolio acquisition and disposition, we continue to focus on creative ways to generate meaningful shareholder value and we'll provide further updates on future calls as these plans are enacted. Aside from the updates I have mentioned, our results this quarter continue to track our expectations. Accordingly, we reiterated all aspects of our prior guidance this quarter. For the balance of the year, we will remain focused on leasing, completing our property upgrades and other value-enhancing opportunities. With that, I'll hand the call over to Tony to discuss our financial results in more detail.
Tony Maretic: Thanks, Jamie. Our net operating income in the second quarter was $24.9 million which is $1.8 million lower than the amount we reported in the first quarter. NOI was lower in Q2 than in Q1 as a result of lower occupancy and a $900000 termination fee recognized in the first quarter at Block 23 as a result of the WeWork departure. We reported core FFO of $11.5 million or $0.28 per share for the second quarter. Core FFO was $2 million lower than the amount we reported in the first quarter, driven primarily by the net operating income decrease. Our second quarter AFFO was $5.3 million or $0.13 per share, which resulted in continued dividend coverage this quarter. The largest impact to AFFO was a $1 million tenant improvement deduction related to a new lease at Mission City in San Diego, which we expect will take occupancy in Q3 2024. We also spent $500,000 on spec suites and vacancy conditioning the four significant property renovations underway which Jamie described resulted in a $1 million deduction to AFFO this quarter. Moving on to some of our operational metrics. Our second quarter same-store cash NOI change was 2.0% or $500,000 lower as compared to the second quarter of 2023, primarily driven by lower portfolio occupancy year-over-year. Our portfolio occupancy ended the quarter at 83.0%, including 241000 square feet of signed leases that have not yet commenced, our occupancy was 87.3% as of quarter end. Our total debt as of June 30th was $649 million. Our net debt including restricted cash to EBITDA was 7.0 times. As of June 30th, we had approximately $92 million undrawn and authorized on our credit facility. We also have cash and restricted cash of $43 million as of quarter end. We expect to use a portion of that liquidity to repay our $50 million term loan that matures in September of this year. We also have two properties of significant value, Block 83 in Raleigh and City Center in Tampa, that are unencumbered and we are exploring potential financing alternatives at Block 83. The remainder of our property level debt maturities for 2024 were addressed in the second quarter. First, as indicated on previous calls, during the quarter, we completed the transfer of our Cascade Station property in Portland to the lender, which reduced our overall debt by approximately $21 million. Second, at Central Fairwinds in Orlando, we extended the $16 million loan by five years to June 2029. Including the effect of a swap agreement, the effective fixed rate is 7.68% and for the new five-year term. Third, at FRP Ingenuity Drive in Orlando, we extended the loan by two years to December 2026 with a one-year extension option. The loan modification for $14 million included a principal repayment of $1.6 million and maintains the existing 4.44% interest rate. We view the debt transaction this quarter as an upgrade to our balance sheet as we have addressed all near-term maturities. Our next property level debt maturity is not until October 2025. And lastly, for me on our guidance, we are reiterating the guidance that we updated last quarter. With the significant amount of signed leases that are expected to commence later in the year our expectation is that our occupancy levels will increase in each of the last two quarters of the year. That concludes our prepared remarks and we will open up the line for questions. Operator?
Operator: Thank you. [Operator Instructions] The first question is from Rob Stevenson with Janney. Your line is open.
Rob Stevenson : Hi. Good morning guys. Tony any additional known move-outs of consequence today made of 430 basis point gap between your occupancy and signed leases not ounces pretty material. So trying to figure out how much of the move-ins are canceled out by move-outs or whether or not you're going to be able to start pulling down some of that gap in the back half of the year as you talked about occupancy increasing.
Tony Maretic : Yes. Good morning, Rob. Yes, you're exactly right. The short answer to your question is no, there's really no new amounts. There is really only one of significant size that is a known vacate over the next four quarters. And that's when we talked about before. There is a 72,000 square foot tenant at AmberGlen that's scheduled to depart at the end of January. And that's the only known move-out greater than 30,000 square feet over the next coming quarters. So you're absolutely right. We -- our midpoint of our guidance range is 84.5% occupancy and we're on track to hit that or maybe a tick higher.
Rob Stevenson: Okay. I mean, is it -- when you're looking at the pipeline of leasing today, how is it looking in the back half of the year versus what you've seen over the last couple of quarters? Is it still as strong as what you did in the first half of the year? Is it sort of moderating as people wait and see what's going to wind up happening? How would you sort of characterize the leasing pipeline versus the last four or five quarters?
Jamie Farrar : Hey, Rob it's Jamie here. So there's a natural slowdown over the summer. So where that ultimately lands in the summer, it's probably a little slower. But I would say as far as requirements we're seeing, discussions we're having it's really, really strong. And so my own prediction is kind of looking forward a year, a market that's been a little softer for us is Phoenix. And that one's really turned the corner. In fact of the 240,000 feet of leases we signed that have commenced about 70,000 of it is in Phoenix. And I think we're going to continue to see some really good traction there.
Rob Stevenson : Okay. And then last one for me. Tony, I think, you talked about taking the term loan and paying that off as it comes due in September. Is that part of what you're thinking on interest rates in terms of waiting and seeing what's going to wind up happening before you put longer-term debt back in place? Is that sort of more permanent do you think in terms of got enough property level debt and whatever you wind up doing in Block 83? In addition to that, how are you guys thinking about addressing some of the -- addressing debt in the current sort of not very stable environment where rates could go down could stay the same and we've had a bunch of head fakes here.
Tony Maretic : Yes. I mean, it's a very good question. And it's anyone guess where things will land. Obviously, there's a lot of indications that rates could be coming down as early as September. But in terms of how we're looking at it, if you look at our overall facility with KeyBanc paying down the term loan and shrinking that facility a little bit, as we go forward given our exposure to that is probably a good idea. We have unencumbered assets. I mentioned that we are exploring placing debt. And on the CMBS market in particular seems to be improving. If you look at the recent originations the percentage of the pool that's being allocated to office has just been increasing and kind of returning to more normalized levels. So we're sort of exploring the various options and feel like we don't necessarily have to do something right away and see how things play out.
Rob Stevenson: Okay. I mean, I guess as a follow-up to that if you were to do something put mortgage debt on Block 83 at some point here what type of rate are you looking at in the marketplace for an asset like that, today if you were doing something in the next call it three or four months?
Tony Maretic: Yes. The current spreads on the reference rate is in that 275 basis point to 300 basis point range for CMBS type deals which is the most active in the market today.
Rob Stevenson: Okay. Thanks, I appreciate the time this morning.
Tony Maretic: Welcome.
Operator: Thank you. The next question is from Upal Rana with KeyBanc Capital Markets. Your line is open.
Upal Rana: Great. Thank you for taking my questions. Jamie you mentioned the turnaround in the Phoenix market. Anything in particular that's driving that turnaround?
Jamie Farrar: It's pretty broad. When you look at our portfolio of submarkets we cover a lot of different submarkets. We're seeing a pickup in activity all around. I'd say the one that still is slow and has a lot of space in the sublease market the tech side. But pretty much all other industries have started to pick up. We're having constructive discussions about longer-term leases and bigger blocks of space. So we're feeling really good about Phoenix what we're seeing.
Upal Rana: Okay. Great. That was helpful. And then I wanted to see how your spec sheets were trending and you mentioned the $3 million number last quarter and expectations for the year end. And just curious on interest and productivity there for those.
Jamie Farrar: Sure. So spec fleets are really moving. So we started I think last quarter we had 82,000 square feet in inventory. We're at 48,000 right now that's vacant. A big piece of that is two larger suites that are fabulously built up. We've got to find the right tenant. That's about 30,000 of the 48,000. We've got a whole bunch of smaller suites in that. So they're continuing to lease. We're going to build about another 32,000 right now mostly smaller spread across our portfolio and that's where we're seeing a great amount of our activity.
Upal Rana: Okay. Great. Thanks. And then just quickly on Central Fairwinds loan extension. What was your thought process there on swapping that out on the floating rate and fixing it given where interest rates may be headed?
Tony Maretic: Yes. That's a very good question. It was a requirement from the lender that we do so at closing.
Upal Rana: Okay. All right. Thank you for your time.
Tony Maretic: Thank you.
Operator: Thank you. [Operator Instructions] We currently have no further questions. So I hand back to Jamie for closing remarks.
Jamie Farrar: Thanks for joining today. Have a great rest of your summer. Goodbye.
Operator: Thank you. This concludes today's call. Thank you all for joining. You may now disconnect your lines.